Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Triple Flag Fourth Quarter and Fiscal Year 2022 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. It is now my pleasure to turn the call over to the CEO, Mr. Shaun Usmar. Sir, please go ahead.
Shaun Usmar: Thanks very much, Brent. Good morning, everyone, and thank you for joining us to discuss Triple Flag's fourth quarter and full year 2022 results. Today, I'm pleased to be joined by my CFO, Sheldon Vanderkooy; our Senior Vice President of Corporate Development, James Dendle; our Vice President of Talent and ESG, Katy Board; and our Vice President of Finance, Eban Bari. Turning to next slide. 2022 was an important year of delivery against our strategic and operational priorities at Triple Flag on almost every metric, and we're all well positioned going into 2023 with the enlarged platform afforded to us by the Maverix transaction. I view 2022 as one of the top three or four most consequential years in our nearly seven-year journey in building this business. Our funding and concluding the Cerro Lindo deal to get us on the map in 2016, doing the Northparkes deal at the start of COVID preparing the business for a successful IPO during 2020, the successful TSX IPO and transition to public life in 2021, and now a disciplined step change on multiple metrics during our first full year as a public company that included our largest deal with Maverix, the New York Stock Exchange listing, and our inaugural Sustainalytics rating, growing our dividends and new quarterly and annual records for the business to name it a few. Our team is going to go into more detail in the slides ahead. On Slide 5, we announced the US$606 million Maverix transaction on November 9, our largest transaction to date. The deal has grown our portfolio to 229 assets, with nearly 80% of the NAV coming from 29 cash-generating assets, offering our investors more than 90% precious metals exposure and favorable geographic concentration, with greater than 80% located in Australia and the Americas. We emerged with a nicely diversified portfolio, an enhanced shareholder register, a projected 27% increase in GEOs for the year ahead to add to our 21% CAGR since 2017, and a portfolio of 200 exploration and development property interests, offering our investors additional growth optionality beyond the 140,000 GEO average we've identified over the next five years that requires no additional funding commitment. The immediate inclusion in the GDXJ and tenfold increase in trading liquidity we've witnessed is being important and well confessed to the transaction. Integration is essential to value realization in any M&A transaction. I'm pleased to report that the integration is in an advanced stage and progressing well towards a rapid conclusion, having only closed the transaction five weeks ago. We can confirm the delivery of our announced annual synergies of more than US$7 million will be achieved. The breakdown is reflected on this slide. I'm also happy to report that we haven't discovered any material surprises relative to our expectations going into the transaction now that we have the keys to the company. Warren Beil has slated seamlessly into our team as General Counsel, offering valuable capability, experience and continuity to the legacy Mavericx portfolio. We're also pleased to welcome Geoff Burns and Blake Rhodes to our Board, whose vice industry experience made an immediate contribution to the depths and perspectives on display in our board room yesterday. We're also excited to welcome Elizabeth Wademan to the Board with her extensive capital markets and sector experience. I'd like to pay tribute to the professionalism of the Maverix management team during this intensive period of handover, and express my gratitude to my team who have done a remarkable job of absorbing this additional workload during year-end demands while executing to a high standard. I'll now turn it over to Sheldon to discuss our financials for Q4 and the financial year we've just gone through. Sheldon?
Sheldon Vanderkooy: Thank you, Shaun. We had a record fourth quarter, realizing over 25,400 gold equivalent ounces due to a very strong performance at Cerro Lindo in the quarter. For the quarter, our adjusted net earnings of US$0.12 per share was an increase to that of a year ago, and our asset margins remained strong at 91%. Our operating cash flow in the quarter was nearly $37 million, which was another record, due largely to record gold equivalent ounces that were slightly offset by lower average metal prices. For the year as a whole, we realized results that were quite consistent with that in 2021. Our gold equivalent ounces were steady with the prior year despite experiencing timing delays, which resulted in our sales and deliveries lagging underlying production at Cerro Lindo, and the headwinds of the lower silver price, which resulted in our silver sales translating into less gold equivalent sales. Adjusted earnings for the year equaled $0.40 per share, slightly ahead of $0.39 per share realized in 2021. I also want to highlight that during 2022, we paid a total of over US$30 million in dividends. Since our IPO, we have paid out over $45 million in dividends, directly sharing underlying cash flow with shareholders. In 2022, we increased our dividend from an annual rate of $0.19 per share to $0.20 per share. Our dividend is well covered for the year, it represented 25% of cash flow, leaving significant additional cash flow for deployment into new opportunities as they present themselves. I'd like to turn to Slide 7 to show the progression of the business since our founding in 2016. Triple Flag was formed in May of 2016, and we acquired our first asset, the Cerro Lindo Silver Stream in December of that year, and we received our first cash flow in January of 2017. Since that time, we have accretive grown the portfolio, realizing over $150 million in revenue in 2022 and poised for further growth in years ahead. After rapid cash flow growth in 2019, 2020 and 2021, due primarily to increasing production, in 2022, we realized results, which were largely consistent with the prior year. In 2022, our 84,500 gold equivalent ounces resulted in operating cash flow of just under US$120 million. This was with 2022 gold and silver prices averaging $1,800 per ounce for gold and less than $22 an ounce for silver. Later in the presentation, James will speak to our five-year forecast of 140,000 gold equivalent ounces. As we scale from our current level of production, the cash flow will scale accordingly, assuming consistent gold and silver prices. Of course, if prices increase from current prices, the cash flow will increase even more. So we expect that cash flow will resume a course of growth going forward, again assuming consistent prices as the embedded growth in the portfolio is realized. We have managed to maintain consistent margins of over 90%. Even a few years ago, this didn't get the level of investor attention that it does now as many operators strive to maintain margins in an inflationary cost environment. The defensive margin characteristics are a real highlight of the streaming and royalty model and it allows for a very effective translation of revenue into cash flow for shareholders. I'll now turn it over to Triple Flag's Vice President of Finance, Eban Bari.
Eban Bari: Thank you, Sheldon. Our inflation resistant business continues to perform well, with a 91% margin realized during the fourth quarter. This is consistent with our historic performance and shows the strength of the royalty and streaming model as inflation and central bank policy continue to be headwinds for the global economy. Turning on to Slide 9. We see the benefits of the high margins being robust cash flow, highlighted by a record $37 million in the fourth quarter. Our cash flows will vary with metal prices, but the combination of high margins and low overhead result in consistent and dependable cash generation. We have returned US$45 million in dividends to shareholders since our IPO and look forward to continuing this trend. Turning on to Slide 10, it highlights three very important aspects of our portfolio, being asset diversification, precious metals focus and a portfolio which is predominantly centered in the Americas and Australia. Cerro Lindo was our biggest contributor in the quarter, with approximately 37% of quarterly revenues being attributable to the asset as a result of catch-up in deliveries. In the past quarter, gold and silver accounted for over 90% of our revenues, amongst the highest in the sector. By geography, the country with the greatest contribution in our revenues was Australia. And after Australia, our portfolio was predominantly located in mining-friendly jurisdictions in the Americas. Now passing on to James.
James Dendle: Thanks, Eban. Page 11 tracks our growth from the founding of Triple Flag in 2016 with the acquisition of the Cerro Lindo Silver Stream, which remains our largest single GEO contributor. From that period, Triple Flag has grown at a sector-leading rate, driven by strong performance of the underlying operations, such as Cerro Lindo and Fosterville as well as the disciplined acquisition of streams and royalties to our latest acquisition of Maverix. Looking forward, GEO guidance for 2023 stands at 100,000 to 110,000 GEOs, which increases to over 140,000 GEOs on average for the period 2024 to 2028, for our longer-term outlook. I will go into further details on the drivers of both figures on the next page. While 2022 and the fourth quarter represented sales records, our portfolio was impacted by delivery and timing and the gold-silver ratio. The 2023 guidance assumes the continuation of similar lacks, particularly regarding Cerro Lindo concentrate settlement, and assets that are ramping up, and a persistence of a higher-than-historical average gold-silver ratio. Certain handicaps where appropriate to account for the recent operational performance have been included. Of note, a portion of Northparkes GEOs will be deferred from 2023 to 2024, reflecting changes in the mill feed blending from all sources of different gold grade contribution, specifically the deferral of ore from the higher-grade E31 North open pit that is expected to start up towards the end of 2023. This is due to Northparkes planning to mine and increased volume of the E26 Lift 1 North Cave in order to optimize cave productivity and overall expansion, which – and extraction, sorry, which runs into a capacity constraint at the plant, which is about 7.8 million tonnes versus the nameplate capacity of 7.6 million tonnes. Fosterville's 2022 production was lower than forecast, primarily due to the operating restrictions related to low frequency noise and lower gold grades than anticipated in the fourth quarter of 2022. The operating constraints related to low frequency noise have been assumed to continue in 2023, resulting in a deferral of approximately 3,000 GEOs attributable to Triple Flag for the year. Negligible GEOs are assumed from construction and ramp-up assets, specifically Pumpkin Hollow and Gunnison until actual performance is demonstrated, although both projects appear to be making solid progress. Royal Bafokeng Platinum experienced operational disruptions in late Q3 2022 as a result of a tragic underground mobile-equipment-related fatality and the ensuing investigation. This will impact 2023 GEOs due to the timing lag between mine production, smelting, refining and metal sales, resulting in a deferral of those GEOs until future periods. Together, these points represented a deferral of GEOs from one period to another. As previously indicated, no contribution from the Omolon royalty has been assumed, neither the 2023 guidance, nor the long-term outlook. Turning to the long-term outlook. GEO sales over the five-year period ending 2028, are expected to average 140,000 GEOs per year, a significant increase over the current levels, primarily due to Northparkes, where, in the short-term, increased gold production from E31 North open pit, and in the medium term, the ramp-up of E22 deposits were – both of which host materially higher gold grades than the current run-of-mine feed forecast for 2023. At the construction stage assets, the restart and ramp-up of operations at Pumpkin Hollow and production from Gunnison, commencing with the existing Johnson Camp will add to GEOs. And we expect Agnico to resolve a low-frequency noise, restriction issues at Fosterville. And finally, we anticipate the completion of production ramp-up at RBPlat Styldrift Mine, Buriticá and Beta Hunt. The majority of the production expected over the five-year outlook is derived from mines that are currently in production supported by mineral reserves. Above and beyond the current outlook exists further optionality associated with development-stage projects that may be advanced during the period. The long-term outlook requires minimal capital expenditure by the asset operators and a number of the development projects have been permitted, providing a low-risk outlook. The long-term production outlook requires no further funding from Triple Flag. I'll now pass it back to Sheldon.
Sheldon Vanderkooy: Thank you, James. In addition to the GEO guidance, we have provided additional guidance as to our expected depletion, G&A expense and Australian cash tax rate. Based on our guidance of 100,000 to 115,000 gold equivalent ounces, we forecast our 2023 depletion to range between $65 million to $71 million. At the midpoint of the range, we are forecasting depletion of $632 per ounce. In 2022, we realized depletion of $592 per ounce, which we expect to increase as we account for the ounces from the Maverix portfolio with our stepped-up cost basis. We are forecasting cash G&A for the year to be $16 million to $17 million, an increase from the $11.3 million realized in 2022. The increase is due to the increased scale from the addition of the Maverix portfolio as well as a full year of being listed on the New York Stock Exchange. As Sean has already spoken to, we are delivering on the Maverix transaction synergies represented by payroll savings and duplicative third-party costs, such as insurance, audit, legal, rent and listing fees. These savings will be realized over the course of 2023. Noncash G&A is forecast to be $5 million per year. This primarily consists of stock options, RSUs, DSUs. Triple Flag currently incurs cash taxes in Australia on our Australian royalties. Consistent with the prior year, we expect cash taxes to be 25% on the Australian royalties. In addition to the royalties on Fosterville, Guards [ph], Stal and Hente, we can now add the Beta Hunt royalty to our Australian portfolio. I'll now turn it over to Katy Board, Triple Flag's Vice President, Talent and ESG.
Katy Board: Thanks, Sheldon. Sustainability remains a core value of Triple Flag. In the fourth quarter, we received external validation of our foundational focus on excellence in ESG as a capital provider to the mining sector, receiving our inaugural Sustainalytics score that ranked us 4 of 114 companies across the global precious metals industry. Further, we were awarded two supplemental top badges for both region and industry. We were also accredited as a great place to work in Canada, highlighting the outstanding employee experience and workplace culture, which we view as a competitive advantage for our talent-obsessed organization at Triple Flag, where top-tier performance is constantly demanded from a small, high-quality team of executives focused on growing value per share. We support decarbonization and the transition to a low-carbon economy. We are committed to maintaining carbon neutral operations. Since inception in 2016, we have been carbon neutral, broadly defining our carbon footprint as consisting of not only the greenhouse gas emissions associated with our direct business activities, but also including our share of the emissions associated with production of our attributable metals production by our counterparties to the point of saleable metals. We achieved carbon neutrality and even received a third-party carbon neutral certification in 2022 by offsetting our annual carbon footprint through the purchase of accredited and verified third-party carbon offsetting projects. We continue to target investing 2% of our net income into community and sector development through scholarships and other developmental programming. Early in 2022, we announced DE&I target of at least 30% women on the Board and 30% diversity in senior management by 2025, and are happy to announce that we have now surpassed our women on the Board target, and we’ll continue to work on closing the diversity gap by 2025.
Shaun Usmar: Thanks, Katy. I want to end on the critical topic of talent. We embarked on a journey seven years ago to build the next senior precious metal streaming and royalty company. I believe our track record is revealing the quality of this team and the ability to execute against our strategic objectives. The focus at Triple Flag is to grow value per share for our stakeholders through investing in precious metal streams and royalties in a manner that adds value to the mining sector, both financially through offering patients, competitive, structured finance through the commodity cycle, and by enhancing the sector’s privileged to operate through our approach to executing on our ESG strategy as capital providers. It’s simply pragmatic. We’ve outlined in this brief presentation the many achievements in a consequential year, and compelling growth outlook that has set us up with an enhanced platform to continue our value growth journey and to build on the momentum we have generated. Our fortunes are directly related to the quality of our talents and how well we work together. Our recent accreditation is one of Canada’s great places to work is an independent window into the cohesion and energy in our ranks. I believe that the quality of this team and our cultural model is core to enabling us to execute to a high standard against our strategic objectives by making effective use of our global networks for deal flow generation and specialist due diligence needs, applying sound business judgment to deals, allocating capital astutely and managing our portfolio effectively. This team culture and approach has enabled us to establish, catch up and then surpass our intermediate peers in pursuit of our ambition to build the next senior precious metal streaming and royalty business. Imagine the possibilities with our enhanced platform and this team in the years to come. We appreciate the support and trust of our stakeholders, and we look forward to providing further updates soon. Thank you. And with that, operator, I’m happy to answer any questions.
Operator: [Operator Instructions] Your first question is from the line of Cosmos Chiu with CIBC. Your line is open.
Cosmos Chiu: Hi, thanks, Shaun and team, and congrats on a very successful 2022. Maybe my first question is on your 2023 guidance, 100,000 to 115,000 ounces. How have you incorporated the Maverix asset into your guidance? More specifically, have you taken a fresh look at any of those assets or even build in some sort of conservatism?
Shaun Usmar: Yes. Cosmos, look, firstly, thank you. I appreciate the congrats and…
Cosmos Chiu: Hi, Shaun.
Shaun Usmar: Yes. Look, I think as you’d appreciate in guidance setting, I think we’ve tried to embrace the same philosophy as we thought we did a year ago, namely putting in a sufficiently high probability of successfully achieving that. I think when we look back and said, what are the factors that represent a variance and might we have done things differently, you’ll see as we’ve set guidance for the year ahead, a lot of those things were really timing related and price related rather than operational. So for example, to just stress the point, relative to our internal views of things like our biggest GEO contributor, Cerro Lindo, the actual operational performance exceeded what we had assumed, but the timing differences on settlement, as we sort of conveyed, had impacted us. So when you look at the overall picture, as we try to apply judgment through various forecasting teams, which we have to then consolidate, you’ve essentially got a situation where we’ve continued that. We’ve applied that the gold/silver ratio that we mentioned. And as we think about Maverix, we’ve seen some analysts include, despite our guidance Omolon. We wanted to re-stress that we’re not assuming any of that in the outlook. We understand that we have an entitlement that will perhaps be of value in years ahead, but we are not factoring that in. And over above that, I think you can think of it as in line with where we had expected and really quite flat relative to the prior year’s what we’re assuming in the immediate year. The only other variances that James has sort of touched on really in reaction being at the end of this process to just some recent market updates. And specifically, if you think about Agnico’s latest views from Fosterville, to remind you, we’ve really fully recouped the investments on that or the money we put into that. They’ve done incredibly well exceeding the first two years by about 50% relative to our expectations. Each year, they’ve actually outperformed. And this last year, at the back end, there was slightly shy and they guided materially lower on the back of these noise restrictions, which I think limit their operations from the house of midnight through 6:00 a.m. These are not insurmountable things, and it’s really a timing factor as we’ve sort of communicated. So I’ll see if James, I don’t know if there’s anything else you’d wish to add perhaps or Sheldon.
James Dendle: I think that’s a good summary.
Shaun Usmar: Yes. So Cosmo, hopefully, that gives you a flavor. But as you’d appreciate, we’re obviously trying to, as always, be as, I’d say, sensible about providing something that we have a decent confidence of being able to achieve.
Cosmos Chiu: Of course, yes, that sounds great. And your guidance, I also appreciate the fact that you’ve put in negligible contribution coming from Gunnison and also Pumpkin Hollow. James kind of touched on it in the prepared remarks. But could you still give us an update in terms of how that’s going? And likely won’t be able to answer my next question, but any kind of time line in terms of when that could start potentially contributing?
Shaun Usmar: Yes. So I think on that similar philosophy that I just shared with you, so how we try to think on guidance setting, I’d say the first point is, when you look back at the sector, the mining sector as a whole, and then you look at just the latest updates that are coming out in terms of cost inflation and deferrals, that’s affecting the sector, I think, as a whole. And I’d actually say to you that, if you even go back to – I think McKinsey did some studies years ago. The back set or the backdrop of execution in non-inflationary environment for the mining sector is like one in five projects being on time and on budget. We’ve always handicapped our investment cases. But in the case of those two assets, until they demonstrate the execution that is in the public domain, we’re going to continue to be sort of, I’d say, not reflect that until such time as we see the run rate. The latest update that we received on both assets are actually very encouraging. We’re big supporters of Randy Buffington and the team, which I think we demonstrated last year at Nevada Copper. We’ve been in touch with the team and some of the partners in the last week, and I think we’re very encouraged with the progress that they’re making. But there’s a difference between what we’re seeing in terms of those indicators and liking the team and then actually getting through as they’re projecting in Q3 with essentially bringing the underground on and feeding the mill. So that’s – those are the milestones we’re looking forward to, and I’d hope to be able to obviously positively point to that later this year. And on Excelsior, you would have seen later – I think earlier this morning, there was actually issued a press release, I think, on PA, which looks really good. They’ve announced the Norton, Rio Tinto relationship, which we’re very encouraged by. They’ve received their permits for the leach pad. And I think we’re hoping that they’ll get there, frankly, quite delayed permits for the well injection stimulation that they’ve been looking for, for some time. And I hope they will get that fairly soon. Again, I think that team has always displayed quite a pragmatic approach to doing things. They have maintained reasonable liquidity levels to execute their plans. We’re encouraged, but we’ll continue to monitor and build that in as we see the progress. And then I’d say just the last point perhaps is, I don’t know if any strategic – candidly an investor who is a bearish on copper. Both these assets are copper in a friendly jurisdiction. They have substantial optionality. And I think at a time when you’re still seeing sticky inflation on execution of new projects, having largely sunk certainly in the case of Nevada copper, the capital, and it’s a question of execution on the ramp-up, I think that places them quite well.
Cosmos Chiu: Yes, I agree. Clearly, copper has done quite well year-to-date. Maybe more specifically on Excelsior. I read in your MD&A that there is Newton or Norton, the copper leaching – heap leaching technology, the new technology. Maybe I’ve been around for too long, but new technology always somewhat concerns me. But maybe could you describe a bit more in terms of what’s going on here with the new technology. And it sounds like it’s only needed potentially for the Johnson Camp. Is that true? Or is it for the Gunnison as well? And how does it – do you need this new technology for production to happen?
James Dendle: Yes. I can pick that up, Cos.
Cosmos Chiu: Hi, James.
James Dendle: The Nuton technology, which is a Rio Tinto venture is specifically for leaching sulfide mineralization and would likely have some applicability to the transitional mineralization. The upper part of the Johnson Camp is an oxide ore body, and the Gunnison deposits, as it relates to in situ leaching, is an oxide ore body. So for the oxide, conventional solutions that one uses in copper heap leaches are applicable. So there’s no requirement for the sulfide leach technology to work in order to deliver the oxide as contemplated neither Gunnison or the Johnson Camp. So it’s very simply an opportunity above and beyond what we ever envisaged for the project, quite frankly. Sulfide leaching has been around for a while, but when we first looked at this project, it was not a feature. So that’s a benefit. It’s also worth pointing out that Johnson Camp mine was mined quite successfully in the past and the prior operators largely got into trouble when they started trying to use conventional oxide heap leach on sulfide material, which, of course, is never going to work. So the oxide operation as planned for Johnson Camp has a good history and a lot of potential. So the company’s focus remains on going in situ leaching up and running, but the Johnson Camp oxide transition in sulfide is some upside.
Shaun Usmar: And Cosmos just to add that, our investment case never contemplated, one, the delays to the extent we’ve experienced them, but I never contemplated metal from the Johnson Camp. So that’s over and above what we underwrote.
Cosmos Chiu: Yes. Understood. Thanks again. Those all the questions I have. Thanks again for answering all the questions.
Shaun Usmar: Thanks so much. Operator, any other questions.
Operator: Your next question is from Fahad Tariq with Credit Suisse. Your line is open.
Fahad Tariq: Hi. Good morning. Thanks for taking my question. Just looking at the 2023 guidance again, is it fair to say that had it not been for the Maverix transaction, just given all the operational issues at the underlying mine that at the legacy Triple Flag mines, it would have been flat or even lower production year-over-year?
Shaun Usmar: Yes. I think the way we sort of characterize it is quite flat on the assumption that we’re not building in any of those ramping asset volumes, more conservative relative to historical pricing scenarios and things of that nature. So as you’d appreciate, with the team that set out as a sort of first year issuer to provide guidance that we thought was very high probability, and they’re missing that last year was a disappointment, that has been a very strong focus for us, and we’ve built that in. So hopefully, that gives you a sense of it. But our ambition is to get into a cadence of underpromising and overdelivering ideally.
Fahad Tariq: Okay. And then just – my only other question, just in terms of deal flow, given where copper prices are today, quite elevated, it’s interesting how quickly the dynamic has changed versus just a few months ago. Any color on deal flow, size, commodity type geography would be very helpful.
Shaun Usmar: Yes, it’s a great question. Fahad, I’d say, the first general point for we turn 7 at the end of April, I’d actually characterize the current deal environment amongst, if not the busiest that we’ve encountered in that time. The question of translation into ultimate deal is always the thing that we wouldn’t look to forecast. But I think, hopefully, we haven’t gone through the last two years talking about discipline and then hopefully demonstrating some of that, that’s what you should expect from us. But we are seeing multiple transactions for the first time in a couple of years really that are meaningfully cash-generating and well-advanced precious metals focused, some acquisition financing-related opportunities, some sort of value realization situations, I’d say, generally in favorable jurisdictions. And I’m very bullish when I think just beyond the immediate horizon, particularly as we’ve conveyed previously, polymetallics, the need that this world has for battery minerals, critical minerals. And I think our former funding to be a useful part of the overall funding cocktail for new supply. And I think it’s something that I think is underrecognized, and I think should actually accrued to the sector as a whole. I’m not really quite encouraged by that. So the deal pipeline is good. I think the thing that really matters is the final analysis of what people do and what they pay.
Fahad Tariq: Okay. Great. That’s it for me. Thank you.
Operator: Your next question is from the line of Greg Barnes with TD Securities. Your line is open.
Greg Barnes: Yes. Thank you. James, can you be a little more specific around GEOs expectations for Northparkes and RBPlat this year? Are we looking flat year-over-year? Or – it sounds like you’ve given your answer to Fahad’s question but just a little more detail would be helpful.
James Dendle: Yes. Sure, Greg. So essentially with Northparkes, the E22 cave – or the E26 cave has a gold grade of about $0.1 million grams a tonne compared to more like $0.7 million, $0.8 million for the E31 open pit. So what Northparkes has encountered as a scenario where they need to basically extract more of the cave, E26 cave during 2023 in order to make sure the draw points operating in accordance to plan and ensure that the cave delivers on the overall extraction ratio. So in doing so, they’ve increased mine tonnages from that cave from around 3.5 million, 3.7 million tonnes a year up to 4.4 million. And that’s accordingly displaced the E31 open pit feed until 2024, how it stands today. The constraint then is – which is pretty unusual as you’d appreciate for underground mines actually becomes the mill. The name plate capacity is 7.6 million tonnes per annum. They’re forecasting running slightly ahead of that for the year at 7.8% in order to process that material against the backdrop of about 8 million tonnes of ore being mined during the year. So a lot of ore feed, but relatively lower gold contributions and obviously the differential between the two ore sources is quite big from a gold growth point of view. So for the year, Northparkes is flat – more or less flat. And then what we’re seeing at the moment is, towards the end of the year, contributions from E31, which meaningfully increased gold, you look at monthly gold production. But as they occur more in November, December, some of that actually will come into 2024 with the timing delays between production of concentrates and settlement of the stream. So some of that benefit goes into next year, but it’s more or less flat. RBPlat, when you reflect the fact, yes, the production for the third quarter last year was down. That actually equated to about a negative 25% hoisted tons of steel drift for Q3 2022 compared to the same period in 2021. So that impacts us, as I mentioned, this year. But there is a slight sort of offsetting factor into foretell drift is ramping up. So RBPlat is more or less flat to ever so slightly down year-on-year, but it’s really on the margin when you put all that together. Production for the balance of the year looks quite strong, but there’s roughly five months’ time delay between production at the mine and settlement of the stream, so that they’re obviously not later into this year and into next.
Greg Barnes: Okay, great. That’s very helpful. Thank you.
Operator: Your next question is from the line of Brian MacArthur with Raymond James. Your line is open.
Brian MacArthur: Good morning. My question is similar to Greg’s, but can we just go through Cerro Lindo and how you see it? I mean, we talked about last year, production was up. There’s delays in sales. This year, we’re going to go down a bit, but I guess there’s a lag for sales. And then we get up to the 4 to 4.5 in 2024-2025. Should I assume really the impact of that with a six-month delay is really not until 2025? And can you guys remind me exactly how you price this with the big delay? Whether you price it on production and then true up going forward or whether you just bring it in as sales when it’s finally sold concentrate? Thanks.
Shaun Usmar: Yes, Brian. I’ll start, and I’ll ask James to expand on your questions. I think, firstly, if you go back to some of the materials in our deck, remember, Cerro was our first transaction, where we’re well on track to full recoupment to that initial investment. And part of the beauty of the track record has been like really low-cost reserve replacement. And I think just over a year ago, we’ve essentially seen the silver that we had underwritten largely replaced on a reserve basis and they’re continuing to do that quite well. The biggest factor, which is a little different on this transaction to what we see in others, and it was driven through their accounting concerns when we actually did the transaction was very much around the – for them to get deferred revenue treatment. They had a strong view that the final settlement had to be based, not on provisional pricing, but on actually final receipt when they settle. And what we’ve experienced, and I don’t think we would have assumed anything different last year. We saw the movement of that QP timing that we mentioned out from, I don’t know, about a month or so out to four. We have kept it at four months. So that is a commercial protection we put in the contract. We’ve seen that move out. And as I said, the actual underlying operating performance that they’ve done on silver because you may have seen next to put our guidance for the next three years, they had good results, but they’re three years, I think, on some of the base metal assumptions have come down. I know some of the analysts are here actually follow more of the base metals and don’t necessarily have a view as a byproduct of silver. But what we’re seeing is sliver actually maintained and been quite robust. So, I think with that as context, James, I don’t know if there’s things you wish to expand on further posture?
James Dendle: Yes. I suppose, Cerro Lindo produced in terms of mateling concentrate at the mine, 4.1 [ph] million ounces in 2022. Next is put out a guidance range of 3.5 to 3.8 for 2023 and that goes up 3.7 to 3.4 – 4.2, sorry, in 2024, then stepping up further to 4 to 4.5 in 2025, which is actually ahead of some of the other figures that have been out there within the technical report. So, we see that flowing through with the lag. So for this year, there is some opportunity that’s reflected in the guidance range of recovering and getting paid on a credit proportion of those ounces within the year. But as Shaun mentioned, it does depend on the timing of the settlement.
Brian MacArthur: Okay. Great. Thanks. And just following up on one other comment, Shaun, you talked about battery metals out there and general views on diversifying into lithium-graphite like real battery metals as opposed to, say, copper, would you go that far in a portfolio?
Shaun Usmar: Yes. Look, it’s a great question. I think the first point I’d make is, I think some of – I think there is empirical evidence that some of our larger peers, as they pursue chunkier deals, are sort of perhaps doing a bit more of their portfolio mix in non-precious. We get that question a lot. And I feel that we’ve been successful by being very focused with the deployment of our capital on generating precious metal investment opportunities. And I see no reason for us to deviate from that. And I truly believe, contrary to some of the questions we got, say, at the Denver Gold Forum, where you’ve seen guys almost like Orion, try and play through the capital structure with their available firepower. So hey, let’s write a big equity check and maybe do some debt, and we’ll then maybe do a stream. We’ve been far more successful, and I think the best and highest use of our capital is actually to deploy that in a very focused way alongside other capital providers who specialize in those parts of the capital stack. And we engage in deals like that now and have consistently been, because I think it is the best use of our capital for our shareholders. But specific to your question, we have looked at times, we have space in the portfolio, you’ll see we are now 93 or so percent gold and silver. And so we have got obviously copper, nickel, little diamonds. I don’t think there’s anyone who has a jaundiced [ph] view of the copper outlook, at least that I’m aware of. And there’s probably more appetite than there is opportunity and we’re active on some of those right now. We’ve looked at tons of lithium over the years. We’ve just never found a case that we’ve found conviction on. We’ve been engaged in quite large cobalt situations, but we’ve – I suppose, got cold feet when we looked at the implied under – the implied cobalt price that was being underwritten as opposed to the sort of technical issues that are there. So it’s a long-winded answer saying to you, we’ve actually, I think not quite maybe uniquely, but this team’s got extensive experience in, what’s now called critical battery metals from our careers. We’ve got great networks there. We are comfortable to have some exposure in there. We have the expertise, but we are going to remain focused on prioritizing precious metals.
Brian MacArthur: Great. Thanks very much, Shaun. Very clear.
Shaun Usmar: Thank you.
Operator: Your next question is from the line of Tanya Jakusconek with Scotiabank. Your line is open.
Tanya Jakusconek: Great. Good morning, everyone, and thank you so much for taking my questions. I guess, we should just end with Veritica, James we’ve talked about North Parks, RV Platts in terms of year-over-year. I guess Brian mentioned Serolindo. Veritica, what are we looking there just so that we touch on the big ones that are harder to get information on?
James Dendle: Yes, sure Tanya. We – as you know, the nameplate capacity at Veritica is 4,000 tons a day. In the last quarter of 2022, the mill was running at about 3,600 a day, which is closer to which more like 3,750 in October, November. So pretty close to nameplate. We’re expecting at least as a base case, we’ve assumed similar performance in 2023. So, we think that’s a reasonable assumption because obviously, mill is one thing, what the mine can deliver is another. So that’s kind of our baseline for the year. Grades and recoveries are in line with expectation and broadly in line with the reserve grade. So that, yes, that’s generally what we’re expecting in Veritica. There were media reports related to some of the illegal mining challenges the company is having which have been publicized recently. From our interactions, obviously, there’s a desire from the operators that have the government increases focus on helping combat those challenges.
Shaun Usmar: And Tanya, I think is just to add to the context, which you’re probably well aware of. Remember, we – so we did that deal a few years ago now. We’ve already fully recovered that initial investment. And you may recall, the – I think the case that we’d under written at the time when it was still continental was 3,000 ton a day. So James mentions the 4,000 nameplate that was above and beyond certainly what we’d expected in time. And I think the team there has done quite a remarkable job of execution through COVID including not only bringing it online, but obviously expanding the capacity above what any of us had anticipated. And I think to your point, we recognize, I think in a number of these cases, an opportunity to just sort of find ways to increase the visibility and disclosure for everyone’s benefit.
Tanya Jakusconek: And maybe we can just get a bit of guidance. Last year you provided guidance that we would be back-end weighted versus the first half. Is there any guidance you can give us quarterly and or semi-annual?
Shaun Usmar: [Indiscernible].
Sheldon Vanderkooy: Yes, Tanya, look, it’ll depend a bit on timing of some of the streams. And specifically, Serolindo is come off with strong 2022 from a mine production perspective and deliveries flowing into 2023 will be stronger initially. Whereas North Parks has an increasing output from a gold perspective as the year goes on. So, we’ll see exactly how the deliveries break up. But yes, nothing overly specific at this stage.
Shaun Usmar: And Tanya, the slight hesitation because there’s been a big discussion amongst ourselves. When you don’t control the finance teams that provide the information, it’s an interesting task forecasting through them. And if we think back to last year just to when your largest GEO contributor has experienced those delays that we telegraphed. But when you’re seeing call it quarter-on-quarter, a 100% variance from three to four effectively through those. In the continuum of the year and then beyond, we’ve seen consistent performance, but the question of the absolute timing within the wonderful precision of a quarter is quite hard. I think the general direction of travel when you look beyond to the 140,000-plus ounces, that we projected and what we're seeing on this is, as you'd appreciate we've actually got to compared to say the intermediate peers and smaller guys, a lot of our NAV, the lion share of our NAV is captured in operating assets. We do – you've heard our posture on the non-producing assets will be ramping assets, and we'll continue to sort of maintain that over time, which I think is a little different to some of what we are seeing in the market. And I think the general direction of travel is still – if you think about overall trend as opposed to quarter-on-quarter and even the year is obviously going to be increasing over time here. So sorry, it's a super long answer and not emphatic, but as I said, when you're going for 4,500 GEOs at Cerro Lindo one quarter and over 9,000 in the next, you do get these periodic variances.
Tanya Jakusconek: Okay. Can I ask on the M&A? I think you mentioned that you're seeing multiple transactions available in the precious metal focus on financing opportunities. Can you talk about sort of the size of these opportunities that you're seeing? And you said relative to the safe jurisdiction, yes. So maybe just size wise, and are there any more royalties available out there? A lot of the deals done out there require royalties and quite large in size. So just wondering what your overall appetite is, and what do you think you can do size-wise?
Shaun Usmar: Yes. Look, I'd actually, to answer that and I'll answer it in a few ways. I think the first is, it's a wonderful opportunity to reflect on the risk of an echo chamber and a management team when you take over a business. And we spoke to Warren, we've asked others saying, look just any reactions or reflections on your early experience versus what you've seen previously. And one of his observations is just the unsolicited flow of stuff that we seem to get relative to perhaps what he was used to. There is not a week goes by that we don't tend to find more royalties and stream opportunities that emerge that was not visible for us. We say no to most of these things for a host of reasons. But there is an unusually steady stream of these. I think, strategically, just to frame the answer for you. I think at different cycles of your growth trajectory, you demand different things. And now post-Maverix, with sort of 200 exploration development assets offering a lot of optionality, that's not a super big priority for me, candidly. I think we are going to really be focusing our available firepower. You see we merged $80 million or so of debt. We'll pay that down quickly. And we've got over $600 million of available firepower. I really want to focus that preferentially, and this is an offer we just can't refuse in the longer term or not producing, on things that are cash generating and new cash generating. You recall strategically, we've always prioritized that from the getgo like Cerro Lindo, Buriticá. But I think it's now more than ever that I see as a priority for us. Directly to your question, I think we're seeing things in the multiple hundreds of millions of dollars that we're active on. We've done several site visits already this year. And it's been an unusually busy time for us. So I think the question really for me is we see that the market might waxing and waning is ultimately what's our capacity to translate some of those potentially into deals that we're willing to underwrite where we're successful. I can say that we've got – as characteristically, we focus on – some of those things are bilateral, some are competitive. So I hope that gives you a sense.
Tanya Jakusconek: Okay. So mainly strains, Shaun, versus royalties?
Shaun Usmar: Yes. I think it's super unusual. I mean, look, you obviously saw – some large royalties, but those are sort of legacy things that were tend a long time ago and then obviously became very valuable over a period. But if you think of our – a large part of our sort of focus for capital deployment is enabling mining financing opportunities for strategics' and preferentially trying to do so. That does lend itself more naturally to stream financing. We obviously – we're happy to do royalties. We will pick them up from time to time. But those tend to be smaller checks, I'd say, ordinarily. So more of that and a lot of polymetallic stuff that we're continuing to witness.
Tanya Jakusconek: Okay. Thank you so much.
Shaun Usmar: Thank you.
Operator: [Operator Instructions] Your next question is from Lawson Winder with BoA Securities. Your line is open.
Lawson Winder: Hello. Good morning gentlemen. Thank you for the update today. I think we've covered off a lot here, but I wanted to ask about one other of your sort of core or I guess, founding assets, but one that I don't think you're getting a lot of value for, which is Gunnison. And I wanted to get your thoughts on, first of all, whether or not you think about Gunnison contributing to your long-term GEO outlook? And how you think the Street should think about that asset and when that might start to contribute?
Shaun Usmar: Yes. Lawson, look, it's great to chat to you. I must say I'm really struggle with Gunnison because there's things that I believe I know that I can't communicate at this time. I think the direction of travel on insitu leach [ph], I think we've communicated and you've seen the recent updates. And you've seen the positive news that we talked about with Johnson Camp, things that were over and above our underwritten case. And I think the sort of key shorter-term milestone that we look to for that team is the well stimulation because that’s the only thing they really struggle with the SXEW circuit does exactly as you’d expect. They’ve been successful with the wellfields but it’s been the CO2 challenge with the ISL. There are things that they’re working on, which I think just – there are multiple options that they’ve been pursuing in order to look – unlock the value of a very well-located large copper ore body in a world that needs copper. I think that’s the best way to put it. And if I think just more strategically for the mining sector right now, increasingly, you’re seeing precious metals and gold companies pursue copper opportunities. Clearly, base metal producers are doing so as well.  We’re seeing evidence of groups out of the Middle East and elsewhere looking to invest money into critical minerals. I think the demand is objectively significant. And to be able to secure a sensible supply in a good jurisdiction is key. So we’re patient, we’re supportive, and I think is very valuable, and I agree with your overall comment. I think it’s an underappreciated opportunity. But I also understand that until there’s momentum, we will continue to adopt the sort of posture that we have as we think through guidance. But I think we’re very supportive of that. James, I don’t know – anything you’d wish out
James Dendle: No. And I just – I would confirm that it is within the average of the five year period. We are – we think there’s enough – there are enough options to get production from Gunnison within that period that we have confidence sufficient to include it. Obviously, it’s a relatively modest contributor [indiscernible]. 
Lawson Winder: Okay. That’s very helpful. And then maybe just one more question on the guidance, 100 to 115 GEOs. I mean, just reading through the release and hearing your comments today, I mean, it sounds like this might be characterized as conservative guidance. Would that be fair? I mean, would you say you have a very high degree of confidence in achieving this 100 to 115 GEO for 2023?
Shaun Usmar: Yes. Just sitting in our boardroom, and I’ve just raised a normal distribution curve that I shared with my Board yesterday where we’ve sort of highlighted the point around, call it, a typical cash flow model, maybe a P50 versus like a P85 [ph], P90. Obviously, when you’re doing this, you’re looking for something where you’ve got a much higher degree of certainty of achievement. I think the frustration for us last year is we did that and in our judgment, we believe that we had actually done it at the time. And I have to say like with some hindsight, like we did not forecast like historic floods in New South Wales or ongoing zero COVID impact the Sinai for Mongolia or the – situation we’ve telegraphed for the first time in six years on our investment in Cerro Lindo despite very good operating performance.  So I don’t think our posture in our analysis has changed. And I’m always hesitant to characterize something as conservative. But I do think it’s an interesting thing. If you zoom in from a one year to multiple year view and you look at a lot of the businesses out there we have, say, less cash flow and a lot of NAV I think the sector as a whole hasn’t necessarily outperformed to the plus side when you think about timing of NAV. The nerve tends to be quite stable, but the GEO part is the part that we’ve always handicapped I just think we’re trying to make sure that we can get on the right side of meeting or exceeding the market. So that’s hopefully, it’s not a political answer to you, but it should hopefully give you a sense of how we’re trying to think about it and do it. 
Lawson Winder: It wasn’t a fair question. Thanks very much, Shaun.
Shaun Usmar: No, no, it was a fair one. Thank you, Lewis.
Operator: There are no further questions at this time. I will now turn the call back over to the CEO, Mr.  Shaun Usmar for closing remarks. 
Shaun Usmar: Yes, Brian, thank you. And look, thanks all very much for making the time today. Thank you for the floor for questions. I hope you appreciate as you look through the release and this call, candidly, the sort of excitement of the stage of our journey; we’re going into the BMO conference on Sunday our dance card is like ridiculously full. We’re really encouraged by that. And it’s a wonderful time, I think, for us. And I think, indeed, people in this sector to be deploying really intelligent capital to enable really what the world needs from this sector – from the resources sector as a whole. And I see that as really an underappreciated opportunity for ongoing value creation for our investors and I think the business as a whole. So I’ll leave it there. I’ll just thank you once again, and we’re happy to address any follow-ups that anyone may have from our disclosures. So thanks so much. 
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s conference call. You may now disconnect.